Operator: Good day, ladies and gentlemen, and welcome to the Raytheon Q1 2016 Earnings Conference Call. My name is Mark and I'll be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Todd Ernst, Vice President of Investor Relations. Please proceed, sir.
Todd Ernst - Vice President-Investor Relations: Thank you, Mark. Good morning, everyone. Thank you for joining us today on our first quarter conference call. The results that we announced this morning, the audio feed of this call and the slides that we'll reference are available on our website at raytheon.com. Following this morning's call, an archive of both the audio replay and a printable version of the slides will be available in the Investor Relations section of our website. With me today are Tom Kennedy, our Chairman and Chief Executive Officer; and Toby O'Brien, our Chief Financial Officer. We'll start with some brief remarks by Tom and Toby and then we'll move on to questions. Before I turn the call over to Tom, I'd like to caution you regarding our forward-looking statements. Any matters discussed today that are not historical facts, particularly comments regarding the company's future plans, objectives and expected performance constitute forward-looking statements. These statements are based on a wide range of assumptions that the company believes are reasonable, but are subject to a range of uncertainties and risks that are summarized at the end of our earnings release and are discussed in detail in our SEC filings. With that, I'll turn the call over to Tom. Tom?
Thomas A. Kennedy - Chairman & Chief Executive Officer: Thank you, Todd. Good morning, everyone. Raytheon has had a good start out of the gates in 2016. Total company bookings increased 39% in the first quarter and our book-to-bill ratio was 1.08, driven in part by a large year-over-year increase in demand in the Middle East/North Africa region as well as strong domestic bookings. Our first quarter sales were well above our expectation, with strong growth in our Missiles business. Cash flow and EPS were also better than expected. This good start gives us continued confidence in our full year outlook. Toby will cover the financial details with you in a few moments. Across our global markets, demand for precision munitions, command and control, including C5I solutions, force protection, integrated air and missile defense and missionized ISR platforms continues to be strong. As we've seen in prior quarters, our Middle East and North Africa customers are continuing to look past near-term volatility in oil prices and are investing in high priority solutions to address an immediate and rapidly evolving threat environment. I visited the region earlier this month to celebrate our 50th anniversary in Saudi Arabia and met with customers. While there, I received first-hand feedback about the successful performance of our products and how they are helping protect citizens and critical infrastructure every day. I can tell you from these discussions that the interest level across the entire MENA region remains high for the types of advanced solutions we offer. One of the more significant upcoming MENA opportunities includes an early-warning radar system for Qatar at IDS which we expect to be awarded later this year. This program, which will significantly increase the air and missile defense sensing capabilities for Qatar has a value approaching $1 billion and has already been through the congressional notification process. As I mentioned earlier, our bookings in the quarter were strong. When looking across the businesses, a key driver was Space and Airborne Systems, which had a book-to-bill ratio of 1.7 in the quarter, driven by domestic space-based sensor solutions in both domestic and international classified. This was the second consecutive quarter of strong bookings at SAS. And building on this, after the close of the first quarter, we announced that SAS had received a $1 billion booking for the engineering and manufacturing development phase for the next-generation Jammer franchise. These awards provide a solid foundation from which SAS will ramp sales growth into the second half of this year. In addition to SAS, we also saw a strong year-over-year increase in bookings in Missile Systems, driven by a number of products, including AMRAAM and SM-6. Before moving on, I would also like to point out that our overall domestic classified business, which experienced a significant increase in full year 2015 bookings, continued to see strong demand into the first quarter of 2016. Book-to-bill for the total company domestic classified was 1.3 in the quarter. First quarter sales for the company increased 9% year-over-year. Our international revenue was up 17% and represented 30% of total sales. Domestic sales were up 6%, with domestic classified sales increasing 12%. As I mentioned earlier, one of the key drivers of the company's first quarter sales was Missile Systems. Let me take a few moments to talk a little bit more about what is driving activity in missiles. As many of you know, our Missile business includes a number of franchise programs. Our global customers look to us to ensure that these programs continue to offer the most advanced capabilities so that they can stay ahead of evolving threats. A great example of this in the quarter was solid growth from AMRAAM, where we are ramping up production on the latest most advanced version of the missile, the AIM-120D. While this missile shares the AMRAAM name with earlier versions, it is vastly more capable. Across our program portfolio at Missiles, there are many other examples where we create value by upgrading the system's technology, including programs such as the Evolved Seasparrow Missile, a premier ship defense missile for our global customers. Also, we are seeing opportunities to adapt existing technology to new missions, such as in the case of SM-6 in Tomahawk which are now expanding into the anti-ship domain. Finally, we are developing new capabilities that are on the cutting edge of innovation including hypersonic and directed energy. In addition to this, another growth driver in Missile Systems has been the increase in operating tempo of our U.S. and international customers. As we sit here today, we see this continuing to be a revenue tailwind for the company at least through next year. But taking a step back, when you look at Raytheon over the past several quarters, it reinforces the value of our diverse portfolio of advanced solutions for our global customers. The recent bookings strength at SAS and Missile Systems, the significant bookings in longer cycle programs at IDS over the past couple of years as well as upcoming opportunities and the competitive position of IIS and Forcepoint in global cybersecurity markets provide a strong foundation for future growth and margin expansion. We were encouraged by the U.S. fiscal year 2017 defense budget and fight up (7:16) request which was released in February. The overall top line for the fiscal year 2017 budget is consistent with the Bipartisan Budget Act of 2015, with key focus areas including electronic warfare, ISR, missile defense, cyber and long-range strike, all areas that play to our strengths. The Department of Defense is focused on high end capabilities through its Third Offset Strategy aligns well with the high end capabilities Raytheon is known for. And we are actively working with the DoD in this area. We continue to see broad-based support for funding a robust national defense. Turning now to Forcepoint. We have made considerable progress toward completing the integration of recent acquisitions. Operating performance in the quarter was solid and above our expectations. Further, the business remains on track to meet the growth objectives we've outlined for you on prior calls. With much of the integration behind us, yesterday we announced a change in leadership at Forcepoint. Matthew Moynahan, who was previously at Arbor Networks, will take over as Forcepoint's CEO on May 9. This change is designed to build on the growth capabilities of the integrated businesses. Matt has a deep background of managing technology companies and has a proven track record of driving growth. John McCormack, who did an outstanding job managing Forcepoint, both when it was private and during the integration with Raytheon, is staying on through the end of the year as an advisor. We thank John for all his hard work and help in positioning Forcepoint to move to the next level. Forcepoint remains well-positioned for the future. During the first quarter, we continued to execute our balanced capital deployment strategy. In March, we raised our dividend by 9.3%. This is the 12th consecutive annual increase to our dividend and reflects our view that a sustainable competitive dividend is a key capital deployment priority. We also repurchased $400 million of stock through our share repurchase program. And as we said on the call in January, we expect the full year 2016 share buyback to approximately 2015 levels, market conditions permitting. Before concluding, I'd like to touch on a topic that we don't often talk about on earnings calls, which is of the utmost importance to our shareholders, and that is corporate governance. The company is committed to being a leader in contemporary corporate governance and we believe that good governance enhances shareholder value. In recent years, we have adopted a number of policies, processes and practices to ensure effective governance. To this end, in March, the Board of Directors voted to amend the company's bylaws to implement proxy access, providing shareholders with a process by which they can include nominees in the company's annual meeting proxy materials. The implementation of proxy access follows on our previous adoption of shareholder action by written consent in 2014 and a special meeting measure in 2010 and further demonstrates Raytheon's commitment to world-class governance practices. In summary, we had a good overall quarter of solid bookings, revenue growth and EPS performance. We continue to execute our growth strategy while at the same time placing a high priority on driving shareholder value. So thank you to the entire Raytheon team for the good start to 2016. Together, we have built on the momentum generated by our 2015 return to growth by delivering a strong quarter for our company, customers and shareholders. With that, I'll turn it over to Toby.
Anthony F. O'Brien - Chief Financial Officer & Vice President: Thanks, Tom. I have a few opening remarks, starting with the first quarter highlights, and then we'll move on to questions. During my remarks, I'll be referring to the web slides that we issued earlier this morning, if everyone would turn to page three. We are pleased with the solid performance the team delivered in the first quarter with bookings, sales, EPS and operating cash flow all better than our expectations. It's a good start to the year and we're positioned well for achieving our full year outlook. We had solid bookings in the first quarter of $6.2 billion resulting in a book-to-bill ratio of 1.08. Sales were $5.8 billion in the quarter, up 9% led by our Missiles, SAS and Forcepoint businesses. Our EPS from continuing operations was $1.43, which I'll give a little more color on in just a moment. We generated strong operating cash flow of $325 million in the first quarter primarily due to the timing of collections and tax payments. During the quarter, the company bought back 3.2 million shares of common stock under the share repurchase program for $400 million. And we announced last month that we increased our dividend by 9.3%. We have now raised our annual dividend every year for the past 12 years. I also want to point out that we're raising the EPS guidance that we provided in January. I'll discuss guidance further in just a few minutes. Turning now to page four. Let me start by providing some detail on our first quarter results. Company bookings for the first quarter were $6.2 billion, an increase of approximately $1.7 billion over the same period last year. International awards represented 27% of the total bookings, and on a trailing four-quarter basis, the book-to-bill ratio was 1.14. A few key bookings in the first quarter included $646 million on AMRAAM at Missiles, and at SAS, over $650 million on an international classified contract and a $553 million award on the Joint Polar Satellite System program. And shortly after the close of the quarter, the U.S. Navy awarded SAS a $1 billion contract on the next-generation jammer program for engineering and manufacturing development. Backlog at the end of the first quarter was $34.8 billion and on a funded basis was $26.2 billion, an increase of approximately $2.4 billion in funded backlog compared to the first quarter 2015. It's worth noting that we ended the first quarter of 2016 with approximately 42% of our backlog comprised of international programs. If you now move to page five. As I just mentioned, for the first quarter 2016, sales were higher than the guidance we set in January. Sales were particularly strong at both Missiles and at SAS. We still expect sales for the company to ramp up throughout the year, with the strong second half driven by our bookings over the past several quarters and the duration of our programs. Looking now at sales by business. IDS had first quarter 2016 net sales of $1.3 billion. The increase from Q1 2015 was primarily driven by higher sales on certain international Patriot programs. We expect IDS sales to increase as we move through the year as some of our international Patriot programs continue to ramp up. In the first quarter 2016, IIS had net sales of $1.5 billion. Compared with the same quarter last year, the increase was primarily due to our cyber security and special mission programs. Missile Systems had first quarter 2016 net sales of $1.7 billion. The 17% increase from the first quarter 2015 was primarily due to both the Paveway and AMRAAM programs. SAS had net sales of $1.5 billion. Higher sales on classified programs, including an international program, contributed to the 7% increase versus last year. And for Forcepoint, the increase was primarily due to the acquisitions of Websense, which we completed in the second quarter of 2015 and Stonesoft, which was acquired in the first quarter of 2016. As a reminder, first quarter 2015 included the results for only Raytheon Cyber Products. Moving ahead to page six. Let me spend a few minutes talking about our margins. Our operating margin was 10.6% for the total company and 10.2% on a business segment basis. We did have two programs with some unique circumstances that impacted our margins in the quarter. One at IDS for $36 million that because it's in a joint venture, about half was offset through the non-controlling interest line on the income statement. And one at Missiles for $22 million. We don't see any significant remaining financial exposure on these programs. If you exclude the two adjustments I just mentioned, our segment margins would be about 100 basis points higher than reported. In addition, as we talked about on last year's first quarter call, it's also important to note that in the first quarter of 2015, Missiles recorded a $25 million, or approximately 170-basis point, favorable resolution of a contractual issue related to a supplier settlement. As expected, IIS and SAS margins were both down compared to the same period last year, primarily driven by a change in program mix. Also, IIS first quarter 2015 margin included the favorable eBorders settlement worth about 340 basis points or $0.42 per share on a total company basis. And at Forcepoint, the first quarter 2016 operating margin was slightly above our expectations for the quarter, driven by strong operating performance. We remain focused on margin improvement going forward and see our base business segment margins in the 12.4% to 12.6% range for the full year, consistent with the guidance we laid out in January. We also see our margin cadence improving as we move throughout the year. As we have discussed on past calls, we are continuously looking for more ways to lower our costs, enhance our competitiveness and improve affordability for our customers. A few examples include executing our strategic sourcing strategy to reduce cost in our supply chain, factory automation, complexity reduction initiatives and reducing our footprint. Given these efforts, our strong backlog and as we progress through the life cycle of some of our production programs, we continue to see opportunities for margin expansion. Turning now to page seven. First quarter 2016 EPS of $1.43 was better than expected, driven largely by higher volume and the recognized tax benefit associated with the adoption of the new accounting standard for stock compensation worth about $0.05. On page eight, we are updating the company's financial outlook for 2016. We still expect our full year 2016 net sales to be in the range of between $24 billion and $24.5 billion, up 3% to 5% from 2015. The increase is driven by growth in both our domestic and international business. We have increased the full year deferred revenue adjustment by $10 million to $77 million to reflect the updated estimate of purchase accounting related to the Stonesoft acquisition we completed earlier in the year. We have lowered our effective tax rate to reflect the tax benefit associated with the adoption of the new accounting standard for stock compensation that I just discussed which, in total, is worth about $0.13 for the full year, with the additional $0.08 expected in the second quarter. We now expect our effective tax rate to be approximately 28.5%, and we have raised our full year 2016 EPS to reflect the tax benefit I just mentioned. We now expect our EPS to be in a range of between $6.93 and $7.13. As I discussed earlier, we repurchased 3.2 million shares of common stock for $400 million in the quarter and continue to see our diluted share count in the range of between 296 and 298 million shares for 2016, a 3% reduction at the midpoint of the range. Operating cash flow in the first quarter was strong and we continue to see our full year 2016 operating cash flow outlook between $2.7 billion and $3 billion. And as you can see on page nine, we've included guidance by business, which is unchanged from our prior outlook. I want to reiterate that at IDS, we still see margins in the 15.9% to 16.1% range. As I said on the January call, our full year 2016 guidance includes positive operating income at IDS related to an expected exit from certain business ventures later in 2016, which you can now think of in the $125 million to $150 million range. This is subject to the finalization of the transaction, which we expect to close in the second half of the year. And as a reminder, when thinking about our 2017 company margin, we see opportunity for upside from 2016 levels, excluding the impact of this gain at IDS that I just discussed, which is expected to be worth about 50 to 60 basis points at the company level in 2016. Before moving on to page 10, as I mentioned on the January call, we still see our 2016 bookings to be between $25 billion and $26 billion, driven by demand from a broad base of domestic and international customers. The first quarter was a good step to meeting this target. On page 10, we provided some directional guidance on how we currently see the quarterly cadence for sales, EPS and operating cash flow for the balance of 2016. Here, you can see the ramp we have been referring to in the second half of the year. I want to point out that we now expect the second quarter sales to be in the range of just under $5.7 billion to $5.8 billion, lower than our prior guidance due to the timing of volume that occurred in Q1 that I talked about earlier. And EPS from continuing operations is now expected to be in a range of $1.51 to $1.56, slightly higher than our prior guidance due to the adoption of the new accounting standard for stock compensation, worth about $0.08 in the second quarter. Before concluding, I'd like to spend a minute to talk about our balanced capital deployment strategy. We repurchased $400 million of stock in the quarter, and as we said on the January call, we expect the full year 2016 share buyback to approximate 2015's levels. We raised the dividend by 9.3%, our 12th consecutive annual increase. We continue to expect to generate strong free cash flow for the year and target returning 80% to 90% of free cash flow to shareholders while maintaining a strong balance sheet. In summary, we saw good performance in the first quarter. Our bookings were ahead of last year's first quarter and sales, EPS and operating cash flow from continuing operations were all higher than the guidance we set in January. We remain well-positioned for the year with our domestic customers' priority areas and continue to be aligned with the evolving priorities of our international customers. Our objective is to drive the business to maximize value for our customers and shareholders. With that, Tom and I will now open the call up for questions.
Operator: Your first question comes from Howard Rubel of Jefferies. Please proceed.
Howard Alan Rubel - Jefferies LLC: Good morning. Thank you.
Anthony F. O'Brien - Chief Financial Officer & Vice President: Good morning, Howard.
Thomas A. Kennedy - Chairman & Chief Executive Officer: Howard.
Howard Alan Rubel - Jefferies LLC: Tom, Toby. The – you've – how shall I call it? I used to not have to footnote odd items, and of late there's been a couple of adjustments in some of the periods, and they've been a little bit more adverse than one would have expected out of Raytheon. Tom, what are you doing, or Toby, to sort of eliminate some of these variabilities with respect to operational challenges?
Thomas A. Kennedy - Chairman & Chief Executive Officer: First of all, there was two programs I think you're alluding to that did impact us on the Q1 results. They do have unique circumstances. One of them was a program, essentially complete and we are having some, I would call it warranty issues on some shelters from a supplier. We are working through that with the supplier. We did take a charge this quarter due to that. However, we are working with that supplier to essentially recover those costs. Very similar to, if you look at last year at Missiles, we had an issue with a supplier and we recovered the cost from that supplier last year. This is unfortunately in some cases part of the business when a supplier doesn't perform or has issues, we have to take the charge, but then we go back and recover those costs, and that's where we're at on that one. The other one was a little bit of a stranger deal with a customer relative to some changes in scope and defining whose responsibility the scope was and also some other issues relative to the structure of the contract. So it's more of a – to us it's kind of a one-time type of an issue. We don't see that as systemic across the business. And so I am looking at these two as one-off and we are disappointed in the fact that they are one-offs, that they even exist, but we don't see them as being systemic across the business. I hope that helps.
Anthony F. O'Brien - Chief Financial Officer & Vice President: And I think the other thing Howard, on these two, as I mentioned, I'll reiterate, we don't see any significant financial exposure going forward on either one of these two programs. We think this captures it and bounds it. And I'd also just augment a little bit; we do have a lot of programs as we talk about historically across our portfolio. We feel very confident in the processes that – by which we use to manage those programs and monitor their progress, and as we said, unfortunately, here there were just some unique circumstances on these two that did impact us here in the quarter and we're going to work to try to at least on the first one at IDS, as Tom said, get some of the impact that we sustained during the quarter recovered through the supplier.
Howard Alan Rubel - Jefferies LLC: No – thank you. That makes a lot of sense. And just as a follow-up, the R&D's up again and what we're seeing is – I'll call it a change or an evolution in the threat. Tom, could you address a little bit some of the opportunities that you see incrementally in air defense? I think, again, going back to the HASC, there's clearly more need for the U.S. to work on some improvements and I know you are positioning Patriot to take advantage of some of that.
Thomas A. Kennedy - Chairman & Chief Executive Officer: Yeah. So I think one of the areas that we're – besides the demand for the Patriot upgrade to configuration 3+ on the existing systems, there also has been a demand for new fire units from several countries that are facing significant issues. As I mentioned, I just came back – I've actually been in the Middle East twice in the – since the beginning of the year already. The last one was to celebrate our 50th anniversary in Saudi. And I got first-hand information from the folks that are using the Patriot systems in both – over that period of time from both the UAE and from Saudi, and I can tell you that the success has been just tremendous relative to them preventing damages due to tactical ballistic missiles landing in their cities and villages. So there's a strong – they're seeing the success of that system which is – I would say kind of unleashing a lot of other demand within the region to have the capability. So that's the basic element. What we're seeing beyond that is a demand on the Patriot system for an advanced AESA radar with 360 capability, and that demand is essentially – the primary part of that demand is coming from international. We also are seeing it from the U.S. Army. That's their roadmap to add a 360-degree AESA capability to the Patriot system. So we have invested in that technology. I mean it goes all the way back to the GaN work that we'd done almost going 15, 20 years ago, but leading up to how we won the AMDR program using that technology, but now it's transitioning into the Patriot system. We're also seeing high demand for, I would call it, Third Offset Strategy concepts, and in there is obviously hypersonics, undersea, you saw Secretary Ash Carter talk about something called distributed lethality and he referenced the work that's being done on Tomahawk and the SM-6 relative to that anti-ship capability. So we're seeing quite a bit of opportunities for either enhancements to our existing systems or new systems that – to ensure that we're positioned to go win those. We are doing IRAT (30:14) activities to support those. I don't know if that answers your question?
Howard Alan Rubel - Jefferies LLC: No. Thank you. That's great.
Anthony F. O'Brien - Chief Financial Officer & Vice President: And Howard, just from a numbers point of view, so the increase in the first quarter were about 3.5% of sales there's, call it, just under $60 million in absolute dollars of increase and that delta is split roughly 50/50, half being related to Forcepoint, right, which because of the timing of the acquisitions, wasn't in the first quarter of last year, and the other half primarily driven by our Missiles business for a lot of the reasons Tom just talked about. And as a reminder, for the full year, we're looking at about 3.2% of sales across the business. That's up from last year; but 80%-plus of that increase again is related to Forcepoint and the balance to the spending across the rest of the defense business.
Howard Alan Rubel - Jefferies LLC: I appreciate the color. Thank you very much.
Thomas A. Kennedy - Chairman & Chief Executive Officer: Thank you, Howard.
Anthony F. O'Brien - Chief Financial Officer & Vice President: Thanks.
Operator: Your next question comes from Robert Stallard of Royal Bank of Canada. Please proceed.
Robert Stallard - RBC Capital Markets LLC: Thanks so much. Good morning.
Thomas A. Kennedy - Chairman & Chief Executive Officer: Good morning, Rob.
Anthony F. O'Brien - Chief Financial Officer & Vice President: Good morning.
Robert Stallard - RBC Capital Markets LLC: In Missiles, you noted you had a very strong quarter for revenues but you didn't raise the revenue guidance for the full year. Does that suggest this is a relatively short-term demand and you don't expect it to be sustained through the full year?
Thomas A. Kennedy - Chairman & Chief Executive Officer: No, I think we – on my discussions I did talk about the fact that we believe that this volume is sustainable through this year and into next, so we feel fairly solid about the 2016 and 2017 in terms of growth, and Toby'll take you into some of the details.
Anthony F. O'Brien - Chief Financial Officer & Vice President: Yeah, I think Rob – some of what you saw in the first quarter at Missiles was timing within the year, not just for Missiles, but for the total company. As I mentioned, we do have a ramp through the year, especially into the back half. So we still see Missiles, to your point in the high single digits from a growth point of view with the cadence improving through the second half of the year as we ramp up on some of our recent international production and development programs. So we feel we still have it pegged with the current guidance, and really, Q1 was more timing than anything else.
Thomas A. Kennedy - Chairman & Chief Executive Officer: And Rob, one thing we're seeing is a little different this year at Missiles is we're seeing the demand across the entire portfolio of Missiles, all of our franchises, the Paveways, the TOWs, AMRAAMs, the 89Xs the CRAMs, the Griffins, and even a resurgence on our Gen T missiles for Patriot. So it's not like it's in one area. It's across the whole portfolio.
Robert Stallard - RBC Capital Markets LLC: Okay. And then maybe a second one. On Forcepoint, I wondering if you could give us an idea of how the older legacy firewall business did in the quarter relative to the more modern products in that division? Thank you.
Thomas A. Kennedy - Chairman & Chief Executive Officer: Yeah. So the legacy filtering business from the legacy Websense was down in the quarter by about a third. Okay? That said, excluding the acquisition of Stonesoft that we had in the first quarter – even taking that into account Forcepoint sales on a normalized basis did grow 9%, so the TRITON product and the Federal business that came over from RCP more than offset the decrease in the legacy web filtering business.
Robert Stallard - RBC Capital Markets LLC: That's great. Thank you.
Operator: Your next question comes from the line of Sam Pearlstein from Wells Fargo. Please proceed.
Samuel J. Pearlstein - Wells Fargo Securities LLC: Good morning.
Anthony F. O'Brien - Chief Financial Officer & Vice President: Hi, Sam.
Thomas A. Kennedy - Chairman & Chief Executive Officer: Good morning, Sam.
Samuel J. Pearlstein - Wells Fargo Securities LLC: I guess, Toby, can you talk as to whether the – since the margins are unchanged, especially IDS and MS, were these charges anticipated when you provided the guidance, or is it something that I guess when you're unwinding this joint venture now it looks like that amount at least is higher than the $90 million it was in the 10-K, so did that change? I'm just trying to think about what the offset to these unfavorable changes are.
Anthony F. O'Brien - Chief Financial Officer & Vice President: Yeah. No, that's a fair question Sam. So no, we did not consider these in the guidance that we gave; either the one at IDS or the one at Missiles. Now just remember the $90 million in the K that you're referring to would be the cost to us to exit the venture, not necessarily the P&L impact but the cash impact. But as far as how we expect to see things improving or recovering this, we do expect to see margins get better or expand in Q2 and beyond that into the second half of 2016. And as I mentioned before, even looking out into 2017, we still see opportunity for margin expansion. And again, as a reminder, that's excluding the $125 million to $150 million impact from the business venture exit in 2016. That said, if you think about Q2 for a minute, we do expect it to be in line with Q1 when you adjust Q1 for the impact of the two programs that I talked about, that I mentioned had about a 100 basis point impact. If you look over the last couple years, from a total company point of view, we typically see our higher margins in the back half and even more towards Q4. We still see it playing out the same this year, and it was set up that way in the initial guidance we gave even before these charges. We also have the gain in Q3 from the venture exit that we talked about, and then we do expect the improved performance in Q4 as we ramp up on some of our production programs, both through the retirement of risk and benefit from the combination of strong volume and driving efficiencies. So there is a ramp, Sam. The increase in the gain on the venture accounts for part of the way that this is offset, combined with generally speaking, driving more efficiencies through the business in the back half of the year. And again, other than those adjustments in the first quarter, not much has really changed relative to the cadence as to how we see things ramping up through the year.
Samuel J. Pearlstein - Wells Fargo Securities LLC: Okay. And then can you talk a little bit about the Mid East, just in terms of the pace of activity? I know you don't have any big binary orders, other than the Qatar, but are customers making decisions at the pace you expect them? Or are you seeing the timing of them stretch out?
Thomas A. Kennedy - Chairman & Chief Executive Officer: Well, I think number one is, as you know, we've been in the Middle East a long time. And I just mentioned on earlier the 50-year celebration in Saudi. So we've been working a lot of these projects for many years already, so there's several that are coming to fruition. You mentioned one, which is the early warning radaring in Qatar. And we also have other activities that we're seeing, I want to say strength in, and that is the area of C5ISR across the region. And one of the big areas is integrating all of these missile defense capabilities that a nation has and tying them together and providing a common operating picture for those, tying that together with an interoperating center and then providing an overall joint operating center for the entire country. So we're seeing a demand signal for that kind of capability across the region. And then outside of the radar I mentioned, there's just a replenishment of – essentially of effectors that have been either used or are now kind of off the shelf, the expiration dates that they need to replenish. And that's just happening, so we're not seeing anything that's slipping to the right in those elements in the Middle East right now.
Samuel J. Pearlstein - Wells Fargo Securities LLC: Thank you.
Operator: Your next question comes from the line of Seth Seifman from JPMorgan. Please proceed.
Seth M. Seifman - JPMorgan Securities LLC: Thanks very much, and good morning.
Anthony F. O'Brien - Chief Financial Officer & Vice President: Good morning Seth.
Seth M. Seifman - JPMorgan Securities LLC: I wanted to ask another question about Missiles, and for, let's say, for the four years ended 2015, and this was fairly consistently a $6.5 billion business. Now we're going to $7 billion and then maybe a bit higher than that, and I heard what you said about the sustainability of demand through 2017 and also the fact that OPTEMPO is a factor, is a driver of the growth that we're seeing. So just when you think – I don't know if it's possible, but when you think about what's driven the growth in 2016 and maybe some additional growth in 2017, if you could sort of in maybe a couple of large buckets quantify what the drivers are in terms how much is OPTEMPO versus how much is anti-ship versus any other categories?
Thomas A. Kennedy - Chairman & Chief Executive Officer: Yeah. I think there's really three – I'll hit it in three kind of big buckets. One is – you're obviously correct, is the OPTEMPO. I would say the other one is just the – actually call it the Third Offset Strategy type efforts that we're seeing in terms of enhancing missile capabilities. And I think I already talked about – I did talk about the SM-6 and the Tomahawk and adding in the anti-ship capabilities. And we're also seeing on the – essentially in the missile defense area, our whole SM-3 product line and the enhancements there relative to missile defense. And if you marry those to what you're seeing out in the world today, relative to the tempo efforts that are going on in the Middle East, the stuff from North Korea relative to the missile defense required for that, it ties in. And then the overall Third Offset Strategy bringing in the improvements in our Missiles across the board, including looking at hypersonics. I think those three things are driving it. So as I mentioned before, we're not seeing just one of the franchises, or a couple of the programs increasing in volume and increasing demand, it's across the whole portfolio. I think that's what's different.
Seth M. Seifman - JPMorgan Securities LLC: All right. And if you – would you say that in those three buckets, are they roughly equal contributors to the overall growth of the business over the 2016, 2017 timeframe? Or is it much more weighted toward one or the other?
Thomas A. Kennedy - Chairman & Chief Executive Officer: I would say, and I don't have the details in front of me, but the tempo is driving up at a faster rate than the other two. But the other two, the rates on those are increasing over prior years. How's that?
Seth M. Seifman - JPMorgan Securities LLC: Okay. Very good. Very good. Appreciate it. Thank you.
Operator: Your next question comes from the line of Carter Copeland from Barclays. Please proceed.
Carter Copeland - Barclays Capital, Inc.: Good morning, gentlemen.
Thomas A. Kennedy - Chairman & Chief Executive Officer: Good morning, Carter.
Anthony F. O'Brien - Chief Financial Officer & Vice President: Morning, Carter.
Carter Copeland - Barclays Capital, Inc.: I wanted to ask quickly about Forcepoint and the leadership change there and just if that signals anything about the company's direction or strategy or opportunities, challenges. I know that clearly the growth was pretty impressive on the ex-Stonesoft and ex-the legacy filtering stuff. So just wondered if you could speak to that and what you're seeing and what it means in terms of the change there?
Anthony F. O'Brien - Chief Financial Officer & Vice President: Yeah, Carter, I'll just give you a quick, from a financial perspective, and then let Tom weigh in on it from a balance of the question there. But we didn't change the outlook for the year. So things are on track financially, both from a growth and a margin point of view. And we've been talking beyond this year that we would expect to see beyond the high single-digit growth rate this year, moving into the teens with some margin expansion. So all that still remains on track, and Tom can add to that as well.
Thomas A. Kennedy - Chairman & Chief Executive Officer: Yeah. So let me step back because we're going on one year since we acquired the Websense company and then integrated it in with our Raytheon Cyber Products group. And then with the recent acquisition of Stonesoft created a, I would call it a commercial cyber security products company that has about a $600 million revenue, which puts it right up there in terms of the largest cyber security commercial software companies in the world. And what we're seeing is the demand for those products across, essentially across each one of their major areas, the TRITON product, the Stonesoft next-generation firewalls, and the SureView product line that came out of RCP. And we're really looking at how do we go to the next level relative to the growth of that business. And one of the areas that we see as a big opportunity is in the large enterprises. The Websense company came across as a very strong, solid foundation in the SME area, small to medium-sized enterprises, with some large enterprises. But we see significant opportunity in expanding into the large enterprise area. And Matt Moynahan has significant experience in that area, his work all the way back in Symantec, Veracode and also at Arbor Networks. And so we needed to bring in a leader with that kind of experience to go drive the expansion and the market segmentation into those two groups. That's really the – he's the right guy to now come in and then take the steed. (44:19) J-Mac, John McCormack did an excellent job for us in the integration and making sure that we had a solid foundation, but we believe now it's time to bring in somebody who can take us into the next markets, especially in the large enterprises.
Carter Copeland - Barclays Capital, Inc.: Great. And then just two quick follow-ups for Toby. One, on the adjustment in IDS, have you assumed any recovery whatsoever, a partial recovery of those costs? Or would that all be a reversal on upside? And then if you could remind us what the pension funding requirement stands at for 2017 and 2018?
Anthony F. O'Brien - Chief Financial Officer & Vice President: Sure. On the IDS question, we've not assumed any additional recovery in our outlook beyond the charge we took, but as I mentioned and Tom mentioned, we are going to work to pursue that from our subcontractors going forward. On the pension requirement, next year – this year we're looking at about $165 million. Next year it's about $933 million, and as a reminder, that increase is due to the fact that the plan comes out of full funding from a PPA point of view. We now have to fund the annual service cost and obviously, given the market performance last year, we would be needing to recover and fund the – or amortize over a few years the shortfall that we had. When you look out beyond, in 2017 and beyond, I think the best way to think of it is from a net cash perspective, a net funding perspective. While it's not as much as this year, right, which is around a positive $1.3 billion, think of it as about $700 million based upon current assumptions per year in 2017 and beyond as a run rate going forward.
Carter Copeland - Barclays Capital, Inc.: So it kind of flattens out from that 2017 level?
Anthony F. O'Brien - Chief Financial Officer & Vice President: Yeah. 2016 is a little bit of an anomaly given how CAF harmonization kicks in. We're still in full funding from a PPA point of view. So we have the spike up to the $1.3 billion. Last year, as a reminder, we were about $800 million, but the $700 million plus or minus would – based upon our current assumptions, would be a run rate.
Carter Copeland - Barclays Capital, Inc.: Great. Thanks, guys.
Operator: Your next question comes from Hunter Keay from Wolfe Research. Please proceed.
Hunter K. Keay - Wolfe Research LLC: Hi. Good morning. Thank you very much.
Thomas A. Kennedy - Chairman & Chief Executive Officer: Good morning, Hunter.
Hunter K. Keay - Wolfe Research LLC: So, you guys mentioned the term evolving priorities of your international customers in your prepared remarks and presumably, and you touched on this a little bit earlier, but presumably you're talking about the dynamics of an evolving battlefield. But is it also a comment embedded in there on an increasing focus on price or value for the money that they're spending as their needs evolve?
Thomas A. Kennedy - Chairman & Chief Executive Officer: Well I think there's always a concern on their part that they're getting value for their money. And I think that's one of the areas is does the system work. Can they operate the system? And I think my last trip in, seeing the fact that they are operating the systems that we provide and that they are seeing success is ensuring them at least the value that they're getting from our solution set that we offer. So I didn't see any issues relative to any of my visits in country, relative to any concerns in terms of value for what they're getting from us. Because they're getting the results.
Hunter K. Keay - Wolfe Research LLC: Okay. Yep. And then you guys mentioned long-range strike as a funding priority, so I'll just bring it up. Is there any color you guys can provide us on your potential role on B-21 either whether it's radar or something else. I think a lot of people assumed you were part of the Boeing Lockheed team. Do you see yourselves possessing a role on that program going forward? Really anything you would be willing to provide on that would be great. Thanks for the time.
Thomas A. Kennedy - Chairman & Chief Executive Officer: Well, unfortunately, we can't talk about it. So...
Hunter K. Keay - Wolfe Research LLC: Yeah. Okay. Thought I'd ask. Thank you.
Operator: Your next question comes from Richard Safran from Buckingham Research. Please proceed.
Richard T. Safran - The Buckingham Research Group, Inc.: Thank you. Good morning.
Anthony F. O'Brien - Chief Financial Officer & Vice President: Good morning, Rich.
Richard T. Safran - The Buckingham Research Group, Inc.: Tom, I wanted to ask you a question. You had a release about an ATACMS replacement that you're offering a new missile design, long-range for a precision fire. So I had a bit of a multi-part question on that. So you've been talking about the demand for your current missile products. What's the interest level at the Pentagon right now for a new missile program? Has the Army decided to move ahead with a new missile program rather than just extend ATACMS? And I was wondering if you could give us any sense about the size and timing of the program, about any opportunity?
Thomas A. Kennedy - Chairman & Chief Executive Officer: Well it's definitely at its infancy right now. We are working with the Army, also with some of our competitors, to help them define what this program is moving forward. Obviously we feel that a new missile can provide the best capability with the best cost and being able to integrate as much of the new technology that's out there as possible. So that's really our position moving forward on it. It's at its infancy. And as we get more information relative to the Army, we'll be glad to share that with you over time.
Richard T. Safran - The Buckingham Research Group, Inc.: Okay. And then also on another program you were talking about, the next-generation Jammer and the $1 billion dollar award and the 15 engineering development pods. Could you discuss a little bit about how that contract will play out, period of performance there for the $1 billion reward? And if the Navy moves to the next phase, how big of an award could that be?
Thomas A. Kennedy - Chairman & Chief Executive Officer: Well again, this is – this award is to go complete the engineering, manufacturing and development phase of the program. And so the assets or the pods, 15 pods that are going to be developed are essentially EEMS assets, (50:23) assets that'll be used for qualification in terms of flight tests and also environmental tests that will be done on the pods to ensure that they meet the overall requirement needs of the United States Navy. So that's what that program is. Following that program, there'll be a transition to production, LRIP and then a full-on – you asked about a period of performance. It's approximately four years for that $1 billion-dollar program.
Richard T. Safran - The Buckingham Research Group, Inc.: Okay. Thanks very much for that. Appreciate it.
Thomas A. Kennedy - Chairman & Chief Executive Officer: Okay. Thank you.
Operator: Your next question comes from David Strauss of UBS. Please proceed.
David E. Strauss - UBS Securities LLC: Thanks. Good morning.
Anthony F. O'Brien - Chief Financial Officer & Vice President: Good morning, David.
Thomas A. Kennedy - Chairman & Chief Executive Officer: Good morning.
David E. Strauss - UBS Securities LLC: Just a quick housekeeping. Toby, on the IDS gain that you're expecting, is that – I think you said $125 million to $150 million before. I think you were talking about $100 million to $125 million. Is that correct?
Anthony F. O'Brien - Chief Financial Officer & Vice President: That's correct.
David E. Strauss - UBS Securities LLC: Okay. Going back to margins, obviously, moving around a fair amount at this point. I guess maybe Tom or Toby, could you maybe talk about what – by business, what you kind of see as a normalized margin level? I know margins are supposed to pick up in the back half of the year and into 2017. But you've got IDS looking like it's running below normal, SAS below, but Missiles may be a little bit above. So any color you could give around kind of what we should expect for normalized margins by business? Thanks.
Anthony F. O'Brien - Chief Financial Officer & Vice President: So I – David, I think that's a little tough to do, to really define normalized given the mix of development and production programs and the timing of completions and starts move around and it's not consistent business-by-business. What I can maybe give you a little bit of color on, I'll just go real quick by the businesses is maybe give you an indication on how we see things playing out through the balance of this year, right. So we talked about IDS and what happened in the quarter with the $36 million impact. But we do see the margin improving through the year, partly driven by improvement in business mix as some of our larger international programs move through the production cycle. And then you mentioned it a minute ago, we do have in the second half, in the third quarter, the gain from the exit of the venture, which is $125 million to $150 million, and that's about 210 to 250 basis points at the IDS level. For IIS we're expecting total year 7.4 to 7.6 (53:16). That would be roughly in line with 2015 after adjusting for the Q1 eBorders. What we see happening, compared to Q1 there, is improved mix moving going forward within IIS. Some improved productivity as we move through the year, and also some improvement coming from expected award fees for IIS. From a Missiles point of view, we talked about the impact in the first quarter with the $22 million adjustment, but if we look forward for the balance of the year, we still see Missiles getting to the 13% to 13.2% range with margins starting to improve or expand in Q2 and in the second half of the year. Really driven by mix and the timing and the ramp up of programs and some expected efficiencies that we would see at Missiles. At SAS, they were down year over year in Q1 as we expected really, driven by some mix, but they were a little bit ahead of our expectations for the quarter. And then, when we think about SAS moving forward, again we're still in the 12.9% to 13.1% range and we do expect the margin to improve throughout the year driven by more favorable mix and therefore the timing of some program improvements. At Forcepoint, real quick, margin improved in the quarter because of the addition of Websense the acquisition last year. It's still on track for the total year of 11.5% to 12.5% range. Really with a little bit more of a ramp or expansion in the second half of the year driven by two things, the completion of integration activities related to the Stonesoft acquisition and also as the sales ramp up in the back half of the year. So overall, we do see the cadence improving in Q2 as well as the second half, primarily as we progress through program lifecycles on some of our more recent awards and due to the timing of expected program improvements as well.
David E. Strauss - UBS Securities LLC: Thanks for the color.
Todd Ernst - Vice President-Investor Relations: Sure. And Mark, we have time for one more call or one more question.
Operator: Your last question comes from Myles Walton from Deutsche Bank. Please proceed.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: Thanks for taking the question. Good morning. I wanted to ask on SAS, it does look like the backlog trends there are turning around pretty good after a few years of in decline. The 1Q is good and then the Jammer drops through. I'm not sure of the duration of the ones you booked in the quarter and then obviously the Jammer is a bit of a longer duration, but is SAS going vie for – start to vie for growing at or above company trends in 2017 and 2018 given the book of business you're getting?
Thomas A. Kennedy - Chairman & Chief Executive Officer: Well, I mean so the – you're absolutely correct on the Jammer. That's about a four-year period of performance. The other big contract, the classified one, is another four-year period of performance. So I would say it's going to have sustainable growth definitely over the next two years, just based on the bookings that they've received here in the last quarter, and obviously last year in 2015.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: And Toby, just a quick one. As you look at this tax rate impact for this year, is this something that would be recurring as you have the three-year vest? So now we're building into the model for 2017 and 2018, 100 basis points lower tax rates.
Anthony F. O'Brien - Chief Financial Officer & Vice President: So there's the potential for it to be recurring, Myles. We have our shares that vest, some of them vest in Q1, and some of them vest in Q2. And the determination as to whether there'd be an impact is driven by where the market price of the stock is on the date they vest compared to the price at issuance, the strike price at issuance. So there could be volatility, but it could be negative volatility as well if our stock price were to go down. So we're going to have to assess that on an annual basis based upon the market and what's happening out there. So I wouldn't necessarily jump to the conclusion that the 100 basis point adjustment is the right thing. It will be really something that we'll have to look at on a year to year basis.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: Okay. All right. Thanks so much.
Anthony F. O'Brien - Chief Financial Officer & Vice President: Sure.
Todd Ernst - Vice President-Investor Relations: Okay. Thank you for joining us this morning. We look forward to speaking with you again on our second quarter conference call in July. Mark?